Operator: Ladies and gentlemen, thank you for standing by, and welcome to the AMETEK First Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded on Thursday, April 26, 2012. I would now like to turn the conference over to Kevin Coleman, Vice President of Investor Relations. Please go ahead, sir.
Kevin C. Coleman: Great. Thank you, Tara. Good morning, everyone, and welcome to AMETEK's first quarter earnings conference call. Joining me this morning are Frank Hermance, Chairman and CEO; John Molinelli, Executive Vice President and Chief Financial Officer; and Bill Burke, Vice President and Treasurer. AMETEK's first quarter results were released earlier this morning. These results are available electronically on market systems and on our website at the Investors section of www.ametek.com. A tape of today's conference call may be accessed until May 10 by calling (800) 633-8284 and entering the confirmation code number 21585026. This conference call is also webcasted. It can be accessed at www.ametek.com and at www.streetevents.com. The conference call will be archived on both of these websites. I will remind you that any statements made by AMETEK during the call that are not historical in nature are to be considered forward-looking statements. As such, these statements are subject to change based on various risk factors and uncertainties that may cause actual results to differ significantly from expectations. A detailed discussion of the risks and uncertainties that may affect our future results is contained in AMETEK's filings with the Securities and Exchange Commission. AMETEK disclaims any intention or obligation to update or revise any forward-looking statements. I will also refer you to the Investors section of www.ametek.com for a reconciliation of any non-GAAP financial measures used during this conference call. We will begin today with some prepared remarks, and then we will take your questions. I will now turn the meeting over to Frank.
Frank S. Hermance: Thank you, Kevin, and good morning, everyone. AMETEK had an excellent first quarter. We established quarterly records for orders, sales, operating income -- operating margins, net income and diluted earnings per share. Sales in the first quarter were up 15% to $827.2 million. Internal growth was strong at 6%, while acquisitions added 10% and currency was a 1% headwind. Operating income for the first quarter was superb. It increased 20% to $182.8 million from $152 million last year, reflecting the impact of the higher sales and our Operational Excellence initiatives. Operating income margin in the quarter was a record at 22.1%, a 90-basis-point improvement over the first quarter of 2011. Net income was up 22% to $110.2 million and diluted earnings per share of $0.68 were up 21% over last year's first quarter. Orders in the first quarter were a record $863 million, up 8% overall from the prior year. Sequentially, orders were up 15%. The book-to-bill ratio in the quarter was 1.04. Cash flow was very strong. Operating cash flow was $141 million, up 36% over last year's first quarter. Free cash flow was $132 million, or 120% of net income. Working capital management was excellent. Operating working capital was 17.2% of sales. Turning our attention to the individual operating groups. The Electronic Instruments Group had a great first quarter. Sales were up 21% to a record $468.8 million on strength in our Aerospace and Process businesses. In addition, we had strong contributions from the 4 acquisitions that we completed in the fourth quarter of 2011 and in January of 2012. Internal growth was strong at 9%, while currency reduced sales by 1%. EIG's operating income increased 23% to a record $123 million, and operating margins were a very strong at 26.2%, up 50 basis points over last year's first quarter. The Electromechanical Group also had a very good quarter. Sales were up 9% to $358.3 million on strength in our differentiated businesses and the contributions from the acquisitions of Avicenna and Coining. Internal growth was 3%. Acquisitions added 7%, and foreign currency reduced sales by 1%. EMG's operating income increased 13% to $70.9 million, a record level, and operating margins increased 70 basis points to 19.8%. Focusing now on our 4 growth strategies of Operational Excellence, global and market expansion, new product development and acquisitions. Operational Excellence is the cornerstone strategy for the company, and our focus on costs and asset management has been a key driver to both our competitive and financial success. Operational Excellence has many facets within our company, including lean manufacturing, Six Sigma in our factories and back office operations, design for Six Sigma in our new product development efforts and a movement of production to low-cost locales. We also continued to drive lower costs through our global sourcing office and strategic procurement initiatives. From these sourcing activities, we recognized approximately $10 million in savings in the first quarter and are conservatively estimating $40 million in savings for all of 2012. Our continued focus on these Operational Excellence efforts were key drivers in achieving the record operating margin of 22.1% in the first quarter. Global and market expansion continues to be a driver for AMETEK's growth. In the first quarter of 2012, international sales represented 51% of our total sales. Organic growth in Asia was very strong in the first quarter, up mid-teens on a percentage basis over the first quarter of 2011. Growth in Europe was also strong, up mid-single digits organically in the quarter. Sales growth in the BRIC regions was excellent, at 20%, reflecting the impact from the investments we've made over the last several years. As an example of global and market expansion, AMETEK's Power Instruments business was recently awarded a contract to provide fault recorders and distributed alarm management systems to a high-speed rail project in Saudi Arabia. Our products will provide complete transient disturbance, trend and alarm management of all substation events, providing realtime indications of issues and high-resolution postmortem analysis in the event of a fault. The initial contract is for support of the first 2 phases of this rail project. We expect more orders to follow in additional phases. The total expected value for this project is approximately $3.5 million. New product development is a key to our long-term health and growth. We've consistently invested in RD&E. In 2012, we expect to spend $155 million, a 13% increase over 2011. We're excited about some recent new program wins driven by our R&D efforts and engineering capabilities. AMETEK Aerospace and Defense has been selected by Snecma to provide heat exchangers and sensors for the LEAP-1A and leap-1C engines being developed for the Airbus A320neo and the COMAC C919 -- that's a Chinese aircraft. AMETEK Hughes Treitler will supply low drag surface coolers to cool variable frequency generator oil and also main engine oil, while AMETEK Measurement and Power Systems will supply the sensors for these engines. The combined contract value is estimated to exceed $175 million over the life of the program. These awards are great examples of AMETEK's success in winning additional content on key aerospace growth platforms through our engineering capabilities. From an overall perspective, revenue from products introduced over the last 3 years was 19% of sales in the first quarter, reflecting the excellent work of our businesses in developing the right products to serve their customers. Turning our attention to acquisitions. AMETEK had a very strong year of acquisitions in 2011, deploying nearly $475 million in capital and acquiring approximately $215 million in annual revenue. We're off to a tremendous start in 2012 with the acquisition of O'Brien Corporation in the first quarter, and as we announced this morning, the signing of a definitive agreement to acquire Dunkermotoren. With the contemplated acquisition of Dunkermotoren, we will have acquired approximately $280 million in revenue thus far in 2012. I will discuss the Dunkermotoren acquisition in a moment, but first I wanted to discuss the acquisition of O'Brien, which we completed in January. O'Brien is a leading manufacturer of fluid and gas handling solutions, sample conditioning equipment and process analyzers using critical applications in the process industries worldwide. O'Brien was privately held and has an annual sales of approximately $80 million. The price paid was approximately $175 million. O'Brien's product offering includes pre-insulated tubing bundles, sample conditioning equipment, specialty electropolished tubing for use in high purity applications, instrument enclosures and process analyzers. Its products are used to enable the capture, transport and analysis of liquids, gases, vapors and emissions in challenging process environments such as oil and gas production, refining, petrochemical processing, power generation, pharmaceutical manufacturing and semiconductor fabrication. O'Brien's product lines are both highly differentiated and highly complementary to AMETEK's Process Instrument businesses. Combined with our analytical instrument solutions, AMETEK now can offer its customers a complete solution for all of their process analysis needs. In addition, we expect to leverage the strong customer relationships of the combined businesses and AMETEK's global capability to further extend O'Brien's market reach. Now, turning to Dunkermotoren. AMETEK announced this morning that we entered into a definitive agreement to acquire Dunkermotoren, a global leader in highly engineered brush and brushless motion control solutions for a wide range of industrial automation applications. Dunkermotoren is privately held and has expected 2012 sales of approximately EUR 155 million, or about $200 million. The business is headquartered in Bonndorf, Germany, with additional manufacturing locations in China, Serbia and the U.K. Approximately 60% of their sales are outside of Europe. Completion of the acquisition is subject to German government approval, as well as normal closing conditions. We expect to complete the transaction in the second quarter. This company is an excellent strategic and highly complementary fit with our Precision Motion Control business, and expands our leadership position in niche rotary and linear motion applications. In addition, it broadens our manufacturing capabilities in both Europe and China and greatly expands our presence in key industrial end markets worldwide. We're very excited about the opportunity to acquire such an outstanding company in Dunkermotoren, and we'll provide further information on the business upon completion of the transaction. Acquisitions will continue to be a focus for us during 2012 as we see this strategy as a key driver to the creation of shareholder value. We had the managerial and financial capacity and disciplined approach to support this acquisition's focus. Our backlog of deals remain excellent. Our balance sheet is strong, and our cash flow and financing facilities provide us with ample liquidity to pursue this strategy. Turning to the outlook now for 2012. We expect our businesses to continue to show solid growth in 2012 with our longer cycle Aerospace, Oil& Gas and Power businesses showing particular strength. Our solid backlog, strong portfolio of businesses, proven Operational Excellence capabilities and a successful focus on strategic acquisitions should enable us to perform very well in 2012. We anticipate 2012 revenue to be up low double digits on a percentage basis from 2011. Organic growth is expected to be up mid-single digits for all of AMETEK and for both operating groups. Earnings for 2012 are now expected to be in the range of $2.70 to $2.75 per diluted share, up 14% to 16% over 2011, reflecting the leveraged impact of core growth and our Operational Excellence initiatives. This is an increase from our previous guidance of $2.65 to $2.70 per diluted share. Second quarter 2012 sales are expected to be up approximately 10% from last year's second quarter. We estimate our earnings to be approximately $0.65 to $0.68 per diluted share, up 12% to 17% over last year's second quarter. The estimates provided for the second quarter and the full year do not include any impact from the pending Dunkermotoren acquisition. John will now cover some of the financial details, and then we'll be glad to take your questions.
John J. Molinelli: Thank you, Frank. As Frank noted, we had an outstanding first quarter with excellent financial performance and a high quality of earnings, and I will provide some further details. Core growth and selling expenses in the quarter was in line with core growth and sales. General and administrative expenses were 1.3% of sales, below last year's first quarter level of 1.5% of sales. The effective tax rate for the quarter was 31.9%, down from last year's first quarter rate of 32.2%. We anticipate a tax rate of between 30% and 31% for the full year of 2012. As we have said before, actual quarterly tax rates can differ dramatically either positively or negatively from this full year rate. On the balance sheet. Working capital, defined as receivables plus inventory, less payables, was 17.2% of sales in the first quarter, down from 18.3% in last year's first quarter, reflecting the continued focus and efforts of our operating teams to reduce our investment here. Strong working capital management will remain a key priority. Capital spending was $8 million for the quarter. Full year 2012 capital expenditures are expected to be approximately $60 million. Depreciation and amortization was $25 million for the quarter. 2012 depreciation and amortization is expected to be approximately $100 million. Our cash flow was very strong in the first quarter. Operating cash flow is $141 million, up 36% over last year's first quarter. And free cash flow was $132 million for the quarter, representing 120% of net income. Total debt was $1.36 billion at March 31, up $96 million from year end. Expenditures for acquisitions through the first quarter totaled approximately $175 million. Offsetting this debt is cash and cash equivalents of $219 million, resulting in a net debt-to-capital ratio at March 31, of 34.3%, down from 34.8% at the end of 2011. At March 31, we had approximately $875 million of cash and existing credit facilities to fund our growth initiatives. Our highest priority for capital deployment remains acquisitions. In summary, we had an outstanding first quarter, establishing records for essentially all the key financial metrics. We're well positioned for further growth, both organically and through acquisitions, with a strong balance sheet and cash flows. Kevin?
Kevin C. Coleman: Thank you, John. Great. Tara, we're now ready to take some questions.
Operator: [Operator Instructions] And our first question comes from the line of Robert Barry from UBS.
Robert Barry - UBS Investment Bank, Research Division: I know you guys tend to be conservative, but I just was trying to square the revenue guidance, especially for the second quarter. With the order growth and the impact from M&A, I mean, it looks like a significant slowdown from what you did in the first quarter. And I think I can get kind of 6%, 7%, 8% of growth just from the deals you've kind of done already, excluding the one you announced today. So is that just really conservative, is there kind of anything happening in the core growth rate, maybe easing a bit? If you could just talk a little bit about that, it would be great.
Frank S. Hermance: Sure. I'd be glad to do that. First of all, the acquisition that we announced today, as I mentioned in my opening remarks, is not included in any of the estimates we provided. Obviously, that deal is not closed at this point, so we did not feel it appropriate to provide any estimates. We did say that it's going to close in the second quarter, but it could close right at the end of the second quarter. We are dependent on German approvals of the government there as well as the normal closing conditions. So when you actually look at the order and the sales guidance we've given you, it's roughly the same as the first quarter. It's not substantially different than the first quarter. We did have very good order intake in the first quarter. A lot of it was in our longer cycle businesses, which are going to tend to shift in the second half of the year. And there are also maybe a tad of conservatism in our estimates.
Robert Barry - UBS Investment Bank, Research Division: Okay. Could you comment perhaps on what you're seeing in Europe and what the change, if any, has been in that region?
Frank S. Hermance: Yes, sure. Europe is an interesting story for us. Overall, our organic growth in Europe was quite good. It was up actually about 7% in the first quarter. And we saw very, very strong performance in our Aerospace businesses. And also one of our companies in France, CAMECA, which makes a very high-end analytic type instrumentation, saw excellent, excellent sales. So those very positive impacts were the drivers for the 7% organic growth. There was some weakness that we saw in our other businesses, but nothing that I would consider sizable at this point in time.
Robert Barry - UBS Investment Bank, Research Division: Okay. And then just finally, I was just wondering if could update us on what your expectations is for EBIT margin expansion? I think at 4Q, you had said about 30 basis points. And I'm sorry if I missed it in your comments, but just given the very strong performance in 1Q, I'm wondering what your thoughts are now for the year.
Frank S. Hermance: No, you're right. You're absolutely right that I didn't say anything in my comments. But, yes, I indicated up 30 basis points in the talk at the end of the year. And we're now estimating, and I would say conservatively, 40 basis points, and hopefully we'll be able to continue to increase that guidance as we go through the year. Obviously, the capability right now and the flow-through in the company is just, just absolutely incredible. The contribution margin in the company in the first quarter was north of 40%, so very, very strong contribution margins. And you couple that with the Operational Excellence activities, where we expect to put about $60 million of cost improvements through the P&L this year, bodes well for margins.
Robert Barry - UBS Investment Bank, Research Division: Yes. Yes, especially given the 90 you did in the first quarter.
Frank S. Hermance: Yes, exactly.
Operator: And our next question comes from the line of Alison Poliniak with Wells Fargo.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: Going back to Europe, could you give a little more color in terms of what your end market exposure is? Like how big is Aerospace? Does Oil & Gas play any part of that as well?
Frank S. Hermance: You're talking about overall for the company now?
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: Well, overall for Europe, yes. AMETEK Europe.
Frank S. Hermance: Oh, for Europe. The overall amount of business that AMETEK has in Europe is about 26% of our total sales. So it's about the right proportion in terms of our market concentration. And that breaks down, roughly 1/3 is in Aerospace & Defense related activities. We have very strong concentration in the Process industries, including Oil & Gas, but not just Oil & Gas. We also have our Ultra Precision Technology (sic) [Technologies] business, which is a part of our European sales. And as I think I've mentioned in previous calls, we also roll up the Middle East into our Europe numbers, although that wasn't really the driver for the excellent core growth we had in the quarter. So it is a mix, but there is good concentration of Aerospace & Defense in our European content. And obviously, Aerospace, and even the Defense portion of Aerospace in Europe, did quite well.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: Great. And then going back to the EBIT expansion, the 40 basis points, is there any way to say acquisitions are holding it back by 10 or 20 basis points with the acquisition-related costs?
Frank S. Hermance: Yes, actually, I haven't done that calculation, but the deals that we have done recently, and actually, will also include Dunkermotoren, assuming we close it, are very strong margin businesses, so I don't expect a huge amount of dilution. But there will be some, especially as our growth from acquisitions is going to accelerate as the year goes on.
Operator: And our next question comes from the line of Scott Graham with Jefferies.
R. Scott Graham - Jefferies & Company, Inc., Research Division: So I was just wondering, Frank, if you could do your typical by-division sales sum-up, that would be helpful.
Frank S. Hermance: Sure, I'd be glad to do that. Why don't I start with Aerospace, which had a really, really good first quarter? We had low double-digit organic sales and order growth with really broad-based strength across all parts of that Aerospace business. We expect to see continued growth for our Aerospace business in 2012 as the trends and order rates, OEM build rates and revenue passenger miles really support strong commercial third-party MRO, and also business in regional jet sales. Actually, I was just reading in the Wall Street before I came in to this conference call that Boeing is expecting to increase their production by about 40% by the end of 2014, so a very substantial change there, which obviously is going to be a nice driver for our growth. Right now for all of 2012, we are expecting our commercial and third-party MRO businesses to be up high single digits. Our business and regional jet business should be up low double digits, and that's based more on wins than it is on the actual market for business and regional jets turning around. And then our military business, we're still saying flat, although we did have a fairly strong first quarter and there may be some conservatism in our forecast for the military side of the business. So if you sum up, we're expecting organic growth in the mid to high-single digits for all of 2012 for Aerospace. And obviously, this is one of our higher profit margin businesses. So I think it's going to be a driver to our performance for a quite an extended period of time. Process, our Process markets performed extremely well in the first quarter. Overall sales were up about 25%, and organic sales were up about 10%. Strong growth was evident across most of our businesses. Our Oil & Gas business continue to show sizable strength, while our Material Analysis, Ultra Precision Technology (sic) [Technologies] and also our Advanced Measurement Technology division were very strong. In addition, we had the benefits from the Reichert Technologies, TMC and O'Brien acquisitions. For 2012, we're expecting this business to grow mid-teens overall, with mid-single-digit organic growth. And in particular, we expect continued strong performance from our later cycle Oil & Gas businesses. And the last part of EIG, Scott, is Power and Industrial. Overall, Q1 sales were up low double-digits driven by mid-single-digit organic growth and the contribution from the EM Test acquisition that we did last year. For all of 2012, we're expecting sales for Power and Industrial to be up low double-digits overall with mid-single-digit organic growth, and that'll be actually balanced growth between the process and industrial parts of that business. So if you take those discussions and look at EIG overall, for 2012, we're expecting overall sales to be up about mid-teens on a percentage basis and organic growth of mid-single digits. Switching to the other half of the company, in EMG for our differentiated EMG businesses, sales were up low teens in Q1, while organic sales were solid. And they had growth in the mid-single digits organically. We saw strong growth from our third-party MRO businesses and also our military businesses, as I mentioned in the answer to Allison's question. And we also augmented that with the acquisitions of Avicenna Technology and Coining. We're expecting for the differentiated part of EMG for all of 2012 will be up approximately 10% overall with organic growth of mid-single digits. And the last part of our company, which is really the legacy businesses, our cost driven motor business, kind of a mixed story here. Orders were up 10% in the first quarter, but sales were actually down about mid-single digits. And for 2012, we're expecting sales to be roughly flat over 2011. And I think as you know, we don't manage this business for growth. We really manage it very heavily for profitability through our Operational Excellence activities. So if you sum these 2 parts of EMG, we're expecting overall sales for EMG to be up mid to high single digits and organic growth should be in that mid-single digit region. If we get the high-single-digit overall growth, we'll be at the high end of the mid-single digit organically, and vice versa. If it's a little bit weaker, then it will be on the other side. And I think the wildcard there is although we saw good order growth in cost driven motors, it'll be interesting to see how that translates as we go through the year. So if you sum the company up then, as I've said in my opening remarks for AMETEK as a whole, we're expecting low double-digit sales growth on a percentage basis, and organic growth in this mid-single-digit arena.
Operator: And our next question comes from the line of Christopher Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer & Co. Inc., Research Division: Frank, just wondering how long you've been looking at Dunkermotoren and if there was a typical cycle time or sort of a unique process.
Frank S. Hermance: That's a great question, Chris. We've probably been looking at this company for 4 to 5 years. It was #1 on the acquisition agenda for our Precision Motion Control business. Our Precision Motion Control business has very strong content in the U.S. and very strong content in Asia but did not have strong content in Europe. And Dunkermotoren basically has a very similar type of approach to the market. They get extremely good margins, and they complement our business just like a glove. So we have remained in contact with this company, actually even through a change in ownership to the present owner. And we actually contacted the owner ourselves, and were able to strike a deal. And we've got a lot of hired people here. I think they signed this deal at about 3:00 or 4:00 this morning. So we're very pleased with it. It's a great business, great complement, as a matter of fact both of these acquisitions. O'Brien and Dunkermotoren are just ideal fits with AMETEK. We understand the businesses. We can improve them, we can leverage them. And I would say, both management teams are also extremely excited about being part of our company. We were their #1 choice in terms of who would acquire them. But yes, it was sort of a long process, but we always hang in there, and it turned out great.
Christopher Glynn - Oppenheimer & Co. Inc., Research Division: Sounds like maybe you should grab a nap after the call. Wondering also on the acquisition pipeline if you've seen any in the third-party MRO pre-PMA type area.
Frank S. Hermance: Yes, that's another question, Chris. Yes, we have. We actually -- over the course of the last couple of years, we've been somewhat quiet on that front. And we actually had a couple of deals that got fairly close to fruition and then didn't happen for one reason or another. But yes, there are some deals in our backlog. That business performed remarkably well in the first quarter. I think you know as we started to roll up these companies, typically these companies have 10% kind of pretax margins because they can't leverage the PMA and DDR capability the way we're able to. And I can tell you that, that total third-party MRO business right now has got to operating margins that are just under 20%, so very sizable improvement. And as well, they were one of our higher growth parts of Aerospace. So we would like to do more transactions here. We've got some backlog, and hopefully you'll be hearing from us in this area.
Operator: And our next question comes from the line of Jim Lucas with Janney Capital Markets.
James C. Lucas - Janney Montgomery Scott LLC, Research Division: I wanted to follow up on Dunkermotoren here. And when you look at that sitting in the Precision Motion, how big is Precision Motion now for you?
Frank S. Hermance: It's about that same size, so it's -- and this is going to be a sizable increase in that business. So, Bill, look it up and see how close I am in my estimates. Bill's going to look it up, but it's roughly that same size.
James C. Lucas - Janney Montgomery Scott LLC, Research Division: Well, knowing your track record, you're pretty close, Frank.
Frank S. Hermance: Yes, Bill says I'm pretty close.
James C. Lucas - Janney Montgomery Scott LLC, Research Division: Okay, great. And good color on Europe. BRIC rose up 20%. We've heard a lot of conflicting reports about China in particular. You've been making a lot of investments in Brazil and India. Can you just give us an update on what you're seeing in emerging markets, China in particular?
Frank S. Hermance: Yes, I can, Jim. There's no question that I can feel some slowing in China, but when you look at slowing from a GDP of 9% to 7%, it's still obviously one of the stronger GDP growths in the world. So we saw very good performance in China. I mentioned the BRIC countries were up about 20% in sales and China was right in that region, and I think it was around 19%. So we were fine. And it will be interesting to see how the year plays out, but largely for us, it's a share gain. So we are getting the growth from share. And it's not as much dictated specifically by the GDPs of that country. India, I did see an article in the Wall Street Journal this morning talking about a potential downgrade from S&P for India, which actually surprised me a bit, but we saw a very good performance in India in the first quarter. It was also right in that same region of about 20% growth. And again, it is largely a share gain for us in India. In Brazil, Brazil was actually a bit weaker for us in the first quarter, but the order growth was really, really super there. And some of that is due to the fact that we have some floorcare motor business down there, and it has not been a favorable climate season for that particular floorcare. I say floorcare, but it's actually in lawn and garden and those types of applications. So that's what drove that. Actually, I was just talk to the group president for our Process businesses, and he said, looking at his businesses down there -- he just spent 3 or 4 days down there -- they're growing very, very rapidly. So a little bit of a mixed bag there, but overall the order growth was good. So I suspect it will be fine for the rest of the year. So I think the best way I can characterize this for us is a little bit of weakening. We're not growing at the same rates that maybe we were last year, but still this is the organic growth engine for us.
James C. Lucas - Janney Montgomery Scott LLC, Research Division: Okay, that's helpful. And 2 housekeeping questions for John. One, I missed D&A for the quarter. And two, payables.
John J. Molinelli: D&A was $25 million, Jim. And payables is $291 million.
Operator: And our next question comes from the line of Jamie Sullivan with RBC Capital Markets.
Jamie Sullivan - RBC Capital Markets, LLC, Research Division: On Dunkermotoren, I just wondered if you have -- is there a purchase price on the deal that you can tell us?
Frank S. Hermance: Well, that's a great question. And we have agreed with the sellers that until we close, we're not going to give a specific number. But I can tell you that this is a typical AMETEK deal. I think you know we don't pay multiples that are double digits. And I think when we do release the final purchase price and the multiples, you'll see this is right in line with a typical AMETEK acquisition.
Jamie Sullivan - RBC Capital Markets, LLC, Research Division: Okay. It sounds like it might be operating at margins that are slightly higher than EMG today overall.
Frank S. Hermance: Than EMG, you said?
Jamie Sullivan - RBC Capital Markets, LLC, Research Division: Right.
Frank S. Hermance: Well, I'm not supposed to be talking about this, but your assumption is a good one.
Jamie Sullivan - RBC Capital Markets, LLC, Research Division: You also mentioned that it's a very nice complement. Do you see opportunity for synergies with...
Frank S. Hermance: Oh, yes, absolutely. We see opportunities for synergy. There's going to be cross-selling opportunities where they have a capability that -- and not huge share in the U.S., so they can capitalize on that. Also in the other direction, our U.S.-based businesses can capitalize on their distribution capability. In Europe, we see cost synergies. They have a plant in Serbia, and we spent a lot of time looking at Serbia because it's a part of the world that we had very little exposure to. And that could end up being another low-cost platform for AMETEK. So that's another synergy that we see in this deal. So I think again this will be a normal AMETEK acquisition and that we'll have good synergies, ability to increase profitability. And as I said, that management team and the management team within AMETEK are really excited about this; 2 very strong management teams, and they can't wait to really have this thing closed and start to capitalize on each other's capability.
Jamie Sullivan - RBC Capital Markets, LLC, Research Division: Great. And you mentioned your segment detail. It doesn't sound like there's any real major change there. Is there any different expectation by geography as you look at the year at this point?
Frank S. Hermance: I would say that maybe the only difference is we probably won't see quite as much growth in China as we were originally hoping for. But offsetting that is our Aerospace businesses are stronger than we had anticipated. So it feels like we're going to end up in the same position, but maybe with a little bit of shift there. But to your opening comment, I don't think it's material. It's not significant.
Jamie Sullivan - RBC Capital Markets, LLC, Research Division: Okay. And then one last quick one. On the guidance for 2Q, you're not assuming any Dunkermotoren contribution, but I assume there will be M&A expenses associated with it that you are assuming on the cost side?
Frank S. Hermance: No. I guess we did roll -- we rolled it through already, some of it, didn't we, guys?
John J. Molinelli: Yes.
Frank S. Hermance: We rolled it through already. So there might be a little bit more, but it's actually in the first quarter results. That's when the majority of our costs were done. And there's not going to be any huge restructuring charges, et cetera, as we go forward. As you know, we're very, very conscious about continually not hitting the P&L with these extraneous charges, so don't expect anything substantial from any of these deals as we go forward. And as I said, this is just going to be a typical deal for us.
Operator: And our next question comes from the line of Matt Summerville with KeyBanc.
Matt J. Summerville - KeyBanc Capital Markets Inc., Research Division: Couple of questions. Frank, you mentioned your networking capital coming in at 18%, maybe a little bit higher than that, which is down, I believe, over last few years from the low 20s. For a company like AMETEK, looking out over the next 2 to 3 years, what is the right number on your networking capital? Can you get it down into the low teens? And I guess, along those lines, how much incremental cash do you think you can get out of working capital?
Frank S. Hermance: I'll answer the first part, and John can answer the second part. The 17 -- actually what we did in the quarter was 17.2%, and we're fairly comfortable with that kind of number. What actually happens, and it was evident when we put our budget together this year, is that as we acquired companies and bring them into our fold, very few operate at this 17.2% or 17% type of number. So our objective is really to maintain that kind of level as we acquire these companies, which means we have to be continually improving the working capital of those acquired companies. But I don't see our mix of businesses getting down to the low teens. We have some businesses that get there, but not for all of AMETEK. If you recall, we have some businesses like our metals businesses and even our -- some of our other more capital-intensive businesses that do have a bit higher working capital. But we're very pleased at this 17% level. And, John, you might be able to answer to the cash question.
John J. Molinelli: Well, I would take it to just a little bit ingredients [ph] to what you said, Frank. I would -- if you look at 2012, we anticipated a number of this 17.2%, but it's a mixture of our base businesses beating that with the acquisitions that we did last year coming in around 26%. And as we go through the year, that number gets better and better. And then you roll that number, Matt, into 2013, that 26% is going to become maybe close to 20%. And we'll pull cash out of those businesses while we run our base businesses in that 16.5% to 17% range. In the aggregate, we've got some of them that are much better than that. So that's the picture I would paint. But we'd be taking cash out of the acquisitions, getting them into that sweet spot of around 16.5%, 17%, 17.5% from an overall perspective.
Matt J. Summerville - KeyBanc Capital Markets Inc., Research Division: That's very helpful. And then just on the military portion of your business, Frank, you indicated that was up in Q1. What's driving that? And I guess, as we move throughout the year, are there specific content wins that you have that give you confidence that, that business isn't going to slip in terms of revenue or potentially even grow?
Frank S. Hermance: It's a great question. And we were -- at least, I was actually surprised at the strength in the first quarter. It was quite good. And it wasn't just on the sales side. Our order intake was very, very good. And it was particularly good in Europe. As I mentioned in my opening remarks, we're being a bit conservative as we go forward, but I have no indications that this business is going to become a major drain. I think the question is more how much upside are we going to get out of it and are the first quarter results something that we can repeat through the year. Actually, I was just talking to our group president about this exact thing. And our position is really, we're going to wait another quarter, and we'll see how well it does. And if the order intake is good in the second quarter -- it started out okay in April -- we may be raising our guidance here. But I don't think we're worried about some dramatic negative impact of military. And it is. I mean, to your point, Matt, there is -- we're on some really good platforms, particularly in Europe. And this is a platform type of business, and the dollars are still coming in. So it's going to be a wait and see.
Matt J. Summerville - KeyBanc Capital Markets Inc., Research Division: And then, Frank, in your opening remarks, early on you mentioned that orders organically up year-over-year, sequentially 15 -- or excuse me, in total, do you have the organic numbers for orders?
Frank S. Hermance: Yes, organic growth was relatively flat across -- or against a very tough comparison.
Operator: And our next question comes from the line of Mark Douglass with Longbow Research.
D. Mark Douglass - Longbow Research LLC: What is the backlog right now?
Frank S. Hermance: $947 million. We're about $800,000 short of a record.
D. Mark Douglass - Longbow Research LLC: Is the order, what, 911, last quarter?
Frank S. Hermance: I think that's right.
John J. Molinelli: I think that's right.
Frank S. Hermance: I think that's right, and that's, that book-to-bill of 1.04 that I was talking about.
D. Mark Douglass - Longbow Research LLC: Yes, yes. And then, Frank, did I miss it? Did you talk about what the organic growth rates were in the U.S., North America and then what you're seeing there?
Frank S. Hermance: Yes, I'll just give them all to you so you have them. The Far East was 15% organically. As I already mentioned, Europe was 7% organically; The U.S. was about 4% organically.
D. Mark Douglass - Longbow Research LLC: So what's -- could you discuss the relative weakness in the U.S. given, actually, that the PMI has been a lot better in the U.S. versus any place else?
Frank S. Hermance: I understand, but I think you've got to almost turn it around and that we had really strong growth in the other parts of the world. The U.S. came in pretty much as we had anticipated, and Europe, for the reasons we've already talked about, came in much stronger than we had, had anticipated. And Asia was a tad weaker. So I don't think it's like we feel there's some problem in the U.S. It's more sort of good news in the other parts of the world, in particular Europe. And I'm probably one of the few CEOs that's talking about good news in Europe.
D. Mark Douglass - Longbow Research LLC: Right. Well, I guess I would've guessed that U.S. would have been higher, seeing then some other companies that the U.S. is still very strong, but I'm just curious if there was certain parts of the U.S. that's on your products' end markets that were under expectations?
Frank S. Hermance: No, I would say, we had said mid-single digits. So it's pretty much what we expected, pretty much what we expected. And there's nothing of concern or alarm in the U.S. Most of our markets are okay. So, yes, there's nothing that I can comment on to your point.
D. Mark Douglass - Longbow Research LLC: Okay. With Dunkermotoren -- what is their, I guess, it seems sounds like pretty diversified. But with the Precision Motion Company in Germany, is solar big enough to be a concern for them at this point or are they pretty well diversified across the pipeline?
Frank S. Hermance: Just like our business in the U.S., this is a highly diversified business. No key end market, no key customer, very, very diverse. And winning this business based on being able to very rapidly customize motors for a particular application. And there's just no single concentration that you can point to that's going to be an issue for them.
Operator: [Operator Instructions] And our next question comes from the line of Richard Eastman with Robert W. Baird.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Frank, could you provide just maybe a little bit of color, or John, on the gross margin? When you look at that year-over-year, the 110 bps of improvement, how much of that is driven by your current sales mix and growth in the Aerospace, Process versus acquisition accretion or price? Are you getting some price here in the quarter?
John J. Molinelli: We are getting some price, Richard. We're probably pulling net of inflation of about a little less than 1% through, so that's contributed. But there's so many ingredients that go into that to try to break it down and beyond that. We've got that $10 million of cost savings Frank talked about. That's running ahead of our expectations. Gosh, the mix has been very good. No question about that. So there's probably half a dozen variables that are trending positive.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. But we are seeing the upward buys in the margins from these later cycle, or longer cycle business acceleration.
John J. Molinelli: No question about that. No question about that. I mean...
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: That kind of margin expansion of the gross line is pretty sustainable as long as we're in this -- we stay in this longer cycle mix, [indiscernible] mix.
John J. Molinelli: No question, especially looking out with the Aerospace strength that we see, that has got a very positive contribution to the higher margins.
Frank S. Hermance: We don't actually, in contrast to other businesses that I've been involved in, we don't focus at the gross margin line because the gross margins of our businesses have very wide diversity amongst them. We really focus on the contribution margin and the absolute margin to the bottom line. And just to augment what John said, the contribution margin in our Aerospace businesses is essentially the highest in the company. It's very, very good. So that's why the contribution margin, overall in the quarter, was up above 40%.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: And that -- so overall when I look at the reported incremental, we're more in the high 20s, obviously, influenced by the acquisition contribution and pull down there. But your core incremental for AMETEK was in the low 40s?
Frank S. Hermance: Yes, actually it was even a bit higher than that. But it was really good. But you're absolutely right that when we talk about contribution margin, we exclude the acquisitions because obviously you're not going to get the flow-through to the same level on the acquisitions, so we just extract them. And that's where this 40% plus number comes from.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just one last question. Frank, when I look at the organic order number, order growth rate or flat growth in orders in the core business, is there anything in the mix of order flow that gives you a better feel or a good feel for your markets? For instance, long cycle, I think had you mentioned long cycle orders, business orders were up. Is there anything on the short cycle side that causes you concern or...
Frank S. Hermance: No, I mean, a part of our short cycle business that we are concerned about is always our cost driven motor business. But obviously, as I mentioned, that part of the business on the order intake was pretty good. This is really -- the fact that we had very, very strong performance last year on orders. And as we were coming sort of up from the depths of the recession, we were swinging back in sort of a V-shaped manner. And some of our order flows in those first couple of quarters last year were just very, very strong. So I'm not looking at anything in that number that is overly concerning to me.
Operator: Gentlemen, there are no further questions at this time.
Kevin C. Coleman: Okay. Fantastic. Thank you, so much Tara. Thank you, everyone, for joining our conference call. As a reminder, a replay of this call may be accessed on the Internet at www.ametek.com and at www.streetevents.com. If there are any further questions, please call me at (610) 889-5247. Thank you so much.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation, and ask that you please disconnect your lines.